Operator: Greetings, and welcome to the Plug Power Second Quarter Earnings Call. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Teal Hoyos, Director of Marketing.
Teal Hoyos: Thank you. Good morning, and welcome to the Plug Power 2020 Second Quarter Earnings Call. This call will include forward-looking statements. We intend these forward-looking statements to be covered by the safe harbor provisions for forward-looking statements contained in Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934. We believe that it is important to communicate our future expectations to investors. However, investors are cautioned not to unduly rely on forward-looking statements as predictions of future events. We believe the forward-looking statements on current expectations and projections about the future events and trends that they may affect our business, financial condition, results of operations and prospects. The outcome of the events described in these forward-looking statements is subject to risks, uncertainties and other factors. Including, but not limited to, risks and uncertainties discussed under Item 1A Risk factors in our annual report on Form 10-K for the fiscal year ended December 31, 2019, and in our quarterly report on Form 10-Q for the first quarter ended March 31, 2020, as well as other reports we file from time to time with the SEC. New risks and uncertainties emerge from time to time, and it is not possible for us to predict all risks and uncertainties that could have an impact on the forward-looking statements. As a result of these factors, we cannot assure that the forward-looking statements will prove to be accurate. Furthermore, if our forward-looking statements prove to be inaccurate, the inaccuracy may be material. In light of the significant uncertainties in these forward-looking statements you should not regard these statements as a representation or warranty by us or any other person that we will achieve our objectives and plans in any specified time frame or at all. These forward-looking statements speak only as of the day in which the statements are made, and we do not undertake or intend to update any forward-looking statements after this call. At this point, I would like to turn the call over to Plug Power's CEO, Andy Marsh.
Andrew Marsh: Thank you, Teal, and thank you, everyone, for joining our second quarter's earnings call. I'm sure many of you have read our second quarter investor letter. So my opening comments will be brief, and I would just like to highlight 4 items that really excite the Plug Power team. First, we had a record quarter in the middle of the pandemic, achieving over $72 million in gross billings and $1 million in EBITDA. The third quarter will be 40% higher in gross billings, and we are projecting between $110 million to $115 million, with EBITDA between $9 million to $10 million. Our factory and service team will build and install over 4,000 GenDrive units and construct 10 hydrogen stations. Through the year, we are on target to achieve our goal of $310 million in gross billings and $21 million in EBITDA. Second item that has me excited is that we took major steps in the second quarter to achieve our goal and producing 40 tonnes a day of green hydrogen by 2024 via the acquisitions of United Hydrogen and Giner ELX. United Hydrogen provides us the platform to build large-scale commercial hydrogen plants and Giner ELX provides us the in-house capability to build and deploy electrolyzers for those sites. Giner ELX is renowned for their PEM technology and now coupled with Plug Power's scale and manufacturing, we believe Plug Power will drive the cost of PEM electrolyzer technologies below current day alkaline electrolyzers technology. With better technology, better costs and a distribution network across Europe, Plug Power is well positioned to leverage the planned 80 gigawatts of deployment of electrolyzers in Europe and North Africa by 2030. Third item, the success this year with rapid growth in gross billings and EBITDA, a move into green hydrogen, that's provided us a clear path to achieve $1.2 billion in revenue and $250 million in EBITDA in 2024. For years, building customer relationships with Walmart, Amazon, Home Depot, BMW and others, while enhancing our technology and making strategic acquisitions has well positioned Plug Power to continue to be the leader in building out the hydrogen economies. The big news in our earnings letter is our gigafactory for making PEM stacks for fuel cells and electrolyzers. We are in the process of down selecting a location for this facility, and we are in discussions with multiple locations across the country. Our plans are that this will be the global showcase of PEM manufacturing in the world. I look forward to tell you more about this during the Plug Power symposium in September when we hope to announce the location of this facility. Now in closing, Plug Power is really unique. We've built the first market for fuel cells in the world, deployed over 35,000 units. And by quarter-end, we'll have 100 fueling stations up and operating by Plug Power. We're a technology leader with our own MEA manufacturing capabilities, the leader in fuel cell and electrolysis technologies and our scalable ProGen pure cell system can be used to build large-scale backup power systems and on-road vehicles. We have the competencies to build large-scale green hydrogen plants. It can be cost competitive with faster fuel-based hydrogen via our 2 latest acquisitions. We plan to be a large provider of green hydrogen, probably doing with some partners. Ultimately, when I look at it, who will use green hydrogen in the $69 billion hydrogen market today if green hydrogen is available at a competitive price. Now finally, Plug Power is really unique. We're a leader in technology and the new energy economy for hydrogen. But you couple that with a track record of real-life experience, and these two capabilities are a complete fit because they enable Plug Power to provide customers turnkey solutions. Paul and I are now very happy to take anyone's questions.
Operator: [Operator Instructions]. Our first question today is from Eric Stine of Craig-Hallum.
Eric Stine: So I was hoping to just chat first on the gigafactory. That certainly is quite noteworthy, as you said in your remarks. Just any thoughts on what type of revenue level that supports and what type of investment? And I know -- well, it's early, but it sounds like it's quite advanced as well. But what type of investment you may need to make so that -- to make that happen?
Andrew Marsh: Eric, I think there is some variables there. When I look at what revenue this will support, this will support well passed our $1.2 billion target for 2020 for -- I would expect somewhere around $2 billion in revenue, this facility was support. Now we're obviously in discussions with different localities to help support funding in this facility. I would tell you, we've already have made some initial purchases of equipment and that we have a fairly clear layout for the facility. And I think a good deal of it how much unity cost Plug power will have a lot to do with the negotiations we've had going on with different states across the country.
Eric Stine: Got it. Got it. Okay. I guess, I'll stay tuned on that one. Maybe just turning to the guide. I mean, I know in the release, you said you reaffirmed it. But in your commentary, it sounds like you are -- I mean, is it right that you're including United Hydrogen now and saying $310 million in revenues or I'm sorry, in billings, and then $21 million in EBITDA. Curious if it's United hydrogens inclusion or if there may be something else that you are including in that number?
Andrew Marsh: No. Eric, when we made the announcement of the acquisitions was when we increased the targets, and that was included in the increased targets.
Eric Stine: Okay. Yes. And I guess, on the last -- yes, when you made those acquisitions to me, at least, it was a little unclear whether you had officially done that or not. So that's helpful. Maybe last one for me. I know, obviously, as the hydrogen strategy takes shape, your goal with United has been to in-source as much of that hydrogen as possible. So just -- I know it's still early, but curious on what that looks like and what the potential margin uplift will be as you continue to do that?
Andrew Marsh: Looking at where we are, Eric, I would -- if you take a snapshot a year and we'll be about 40 tonnes of hydrogen usage. And that United Hydrogen, we expect by the middle of the second quarter of 2021. About 8 tonnes of hydrogen with our expansion in that facility will be used in the Plug Power network. And if you take a look at that, that moves essentially about 20% of our hydrogen from a buy, resell model to a sell model. And puts margins for that portion, the 35% range. So it's a big step in improving the hydrogen margins. And obviously, we're looking at building green hydrogen plants in the near future with either hydro power wind or solar. We're all 3.
Operator: The next question is from Stephen Byrd of Morgan Stanley.
Stephen Byrd: I hope you all are doing well.
Andrew Marsh: Stephen, it's good when you're shipping a lot of product and business is going in the right direction. So I'm doing well.
Stephen Byrd: Excellent, excellent. Pretty exciting updates. And obviously, the gigafactory is a really interesting development. I guess I wanted to explore the positives related to that as well as just sort of addressing some of the questions on risk that we may get on the positive side. I guess I wondered if you could address -- as I was thinking, if you're the first to achieve very large scale, just in terms of the cost advantage you see from reaching the kind of scale that we're talking about, really quite massive. But on the flip side, wondered if you could also address sort of your latest thinking on there are a number of players out there who would like to produce hydrogen and there are a variety of technologies. Some do look to be fairly low cost. Just -- I know you've talked about this before, but just wanted to get your latest thinking on sort of your competitive advantages relative to others?
Andrew Marsh: Sure. I think there's a couple of items when it comes to green hydrogen. I think first and foremost, the experience in building a plant is actually very limited around the world at scale. And that's something that United Hydrogen has achieved. Two, it is clear to me that the cost of renewables as they continue to go down that hydrogen generated from renewables will be on a variable basis, cost competitive with natural gas generated hydrogen, a real distinct advantage. And my view is that I've looked at many of the carbon capture technologies. And I fundamentally believe the basic cost structure and simplicity of using renewables, such as wind, solar and hydro power to create hydrogen is a much more cost-effective approach, especially over the next decade. So when we look at that market and we see many opportunities -- we've actually have looked at over 20 sites for places we can build plants with partners as well as on our own. And if we can source renewables and $0.04 a kilowatt hour, we're extremely competitive with great hydrogen today.
Stephen Byrd: That's a great update. In terms of the gigafactory, I know you, at this point, really can't give very much detail on the financing. But I'm guessing that there are a variety of sort of incentives that are possible, approaches to financing, such as sort of the end usage of your net balance sheet is probably lower than folks might be concerned about it. Is that fair to say that just generally, there are probably a lot of tools in your toolkit in terms of how you think about financing that?
Andrew Marsh: Absolutely, Stephen. I mean, that's it's a -- like many of these, if you look around the world, here in New York, you've had the Cree factory that went out in Rochester. You have activities, obviously, the different facilities tesla has built. Hydrogen, as many of you know, people are recognizing as critical to the long-term clean energy economy, which is much dependent on customer demand. And companies like Amazon positioning to meet their 2040 sustainability goals, and there's many applications that hydrogen is the only solution. So I think a company like Plug that built the first market is very attractive to different jurisdictions who would want to support the building of such a facility.
Stephen Byrd: Great. And maybe just very quickly, one last question. We do get questions just on the long-haul transportation, long-haul trucking market in terms of the relative advantages of fuel cells versus battery systems. And I know you've talked about that in great depth on numerous occasions. I just wondered if you could give us your latest thinking on sort of the reasons you see advantages in terms of fuel cell systems for longer -- long-haul transportation?
Andrew Marsh: Sure, Stephen. I view this is an asset UL. First is an asset utilization play. And if you look at it -- and I guess one of my fundamental beliefs is that electric motors eventually will be a better cost solution than internal combustion engines. That's a question of how you power. And as many people know, fuel cells have 3 advantages. One is fast fueling, which can be 5 to 6x -- at least 5 to 6x faster than electrical charging. I think the second area is that ranges of up to 500 miles or certainly doable and possible with Class A trucks. And third is that -- and this is the one that when you sit with people in the auto -- in the vehicle industry, it's the packaging density. I have a chart that I showed that was put together by put together by DHL that shows that essentially after about 100 kilometers, the density of fuel cells and batteries, it's about the same. About the physical size they take up. But from that point on, batteries grow at a 10x rate. So even if there's improvements in batteries, there will also be improvements in fuel cells. And I -- DHL for any trucking beyond 120, 130 miles, for example, as a clear believer that because their business isn't moving batteries around. It's moving packages for customers that fuel cells are a distinct advantage because they just don't take up as much space as batteries will in a truck.
Operator: The next question is from Jeff Osborne of Cowen & Company.
Jeffrey Osborne: A couple of questions for me. Good to hear from you. Andy, can you just talk about the cadence of the year? I mean, certainly, the third quarter, it looks phenomenal relative to the trends of the past, the third and the fourth quarter. Is that an impetus of retailers having to shift to more online versus in-store business? Or I'm just trying to understand the cadence between 2Q to 3Q, the uptick of 40% that you talked about and then the downtick in 4Q.
Andrew Marsh: Sure. So Jeff, I guess, on the first item is that when I spoke about the second half of the year back in January. This, I said 40% of the business, 35% to 40% of the business will be in the fourth -- in the first half, the rest would be in the second half. There hasn't -- there has been some switches where I saw a slowdown in the auto market, where we support companies who manufacture cars by did seeing corresponding uptick in retail. When I look out to the fourth quarter, I've been doing this for a dozen years now, Jeff, and I've been very, very -- I've become very, very cautious about upping those numbers until I'm 100% guaranteed. This quarter, I'm 100% guaranteed in the fourth quarter, what I have today is all in-house. So we're -- I think, in November, we may give some additional guidance there. But I really think what happened here with COVID, I think you're going to see an impact in 2021. We're still working through our numbers in 2021. But our visibility in the retail sector for both food retail and Internet retail, the business will just get stronger next year. So I would think in the November time frame, I'll be able to give you really good guidance for then.
Jeffrey Osborne: Okay. That sounds great. And then can you just touch on what you're seeing in the trucking market? I think in the past, you had talked about working with 4 potential partners, 1 in earnest. You've obviously announced Lightning Systems. I didn't see much of an update in the shareholder letter on motive applications in general. Can you just broadly touch on that?
Andrew Marsh: Sure. So when I look at it, Jeff, we have -- as I mentioned previously, it's probably early next year, mid next year, where the 4 manufacturers we're working with for scale manufacturing, we expect to have an announcement. It's possible, quite honestly, that there could be one, a good deal sooner than that. When I -- as I've said before, we expect to be putting vehicles on the road at small-scale this year. I know at 2 sites in Europe and additional sites in the United States. So the business is evolving and growing. And I have to say I'm quite confident about one of the partnerships that I would expect that we will have more to tell you about sooner rather than later.
Jeffrey Osborne: We look forward to that. My last question was on the Asda deal. Can you just touch on that? And there was reference to the initial site, I didn't know how many sites that they might proceed with maybe next year, what the potential was there relative to Walmart and other partners on the domestic side?
Andrew Marsh: Sure. So we are working with Walmart now much more on a global basis. In the U.K., there's between 10 to 20 opportunities. They have about a 15% food retail market share. And -- but I think that how you have to think about our business today with Walmart is not just the domestic North America business, but global activities. There -- Walmart has facilities around the world. And I think our ability, especially during this pandemic, and I think the pandemic helped the Asda deal. But I would expect the expansion of our relationship, not only in North America, but globally.
Jeffrey Osborne: And just a quick follow-up. Can you use the same financing structure globally? Or does it have to be domestic because of the tax equity?
Andrew Marsh: The finance strategy with Walmart globally will look more like our normal customer relationships.
Operator: The next question is from Jed Dorsheimer of Canaccord Genuity.
Jonathan Dorsheimer: Congratulations on another good quarter and some great milestones. I guess, first, I just want to dig in, Andy, on -- you mentioned in terms of '21 in COVID, although the way that you're speaking about COVID is actually the inverse of what most other companies are referring to. So maybe if you could just dig in and unpack a little bit sort of how this is -- you see this helping the business and kind of accelerating and pulling things in?
Andrew Marsh: Sure. So Jed, when you think about our value proposition, especially in material handling, but it certainly translates in other applications. It has a lot to do with moving goods faster and moving goods more productively. And when you look at my base business in those areas, it's with food retail and it's with Internet retail. And if you think about how many people now are more eating at home and how many people now are buying packages online. I think you've seen the growth that my biggest customers have had. And I think across the board, we are in the right segment for the future. We're involved in segments which are associated with the future logistics. And we're with 2 of the biggest players, the largest Internet retailer in the world and the largest food retailer in the world. And both of them recognized during this crisis that in many cases, and I think that it would have been very difficult for them to meet their customers' needs, if they didn't have fuel cells moving products around. And they sold the difference in the facilities that had fuel cells versus the performance in facilities without fuel cells. So I think that's really the underlining reason, Jed, why we've been successful.
Jonathan Dorsheimer: That's helpful to -- thanks for outlining the value proposition. And I guess, maybe as a segue or continuation. As we think about those customers that are installing on-gen or on-prem generation for the material handling, as we think about that $1.2 billion and the context of kind of getting into the next application. Could you maybe update just on where you stand for sort of that Class 2 through Class 6 trucking application? And whether or not we should expect to see an existing customer that leverages the on-prem, first in there? Or do you think that it may happen differently?
Andrew Marsh: I can tell you that we are making modifications to fueling stations as we speak with one of our present customers to be able to do outdoor refueling of Class 6 and Class 8 trucks. We certainly plan to participate in that for the on-road vehicle sector -- Section 2. So we're really unique we built and operate now over a 100 fueling stations, which can take -- you can draw from Lewis to Maine all the way out to the West Coast of California. And there's fueling stations built and operated by Plug Power along that whole path. And we just see that as an opportunity and leverage and help us in the vehicle market as well as help us in our quest to build out our green hydrogen business. So I think there's a lot of positives in those areas. And I think we're well positioned with our present customers to do those types of deployments.
Jonathan Dorsheimer: Great. One last high-level question for me. If we just look at the Asda -- by the way, congratulations on getting that the footprint in the U.K. If I look at how the narratives somewhat shifted over the past year or so here, you really are talking a lot more about green hydrogen, and we see the sort of the beach hold into the European markets here. I'm wondering if this is harbinger of more things to come with your expansion into Europe? And what -- how much of that is baked into that $1.2 billion or whether or not that has more to do with the $2 billion number that you threw out today?
Andrew Marsh: I think when you take a look at our plan that we rolled out in the past year and September was relatively white when it came to Europe. And I think we see -- and we've spent a good deal of time building relationships in Europe over the last 5 years with people like BMW, Daimler, IKEA, now Asda and Carrefour. And we are -- that has given us viability in Europe. One of the exciting aspects of the activities with Giner ELX is that they have built interesting partners across Europe for the future hydrogen economy. And we're thinking through ways of leveraging that, plus both on the green hydrogen side and on the vehicle side, there are a good deal of discussions going on with potential European partners. So Europe is a -- what do I spend my day on, green hydrogen is certainly one of the big items. But the opportunity in Europe and the gigafactory are right up there.
Operator: [Operator Instructions]. Our next question is from Colin Rusch of Oppenheimer.
Colin Rusch: I guess I have two around the revenue. So one, you talked about $290 million of bookings in place previously. Can you give us an update on that number as we think about the full year? And then secondarily, as you look at the 3Q guidance, how much of that is hydrogen sales separate from the soft consumption of the hydrogen with the United Hydrogen acquisition?
Teal Hoyos: Sure. So the hydrogen sales -- a lot of hydrogen sales help me on the margin front now since I have been moving already hydrogen to Plug Power. Know, Colin, we have everything in-house for this year to achieve the $310 million and looking at opportunities to expand that. We're well positioned for next year to continue on the growth rates we have had. And we -- as I mentioned, I would expect that in the November call, we'll be able to share more of those projections, but it's in line with our goals to get to $1.2 billion. Hydrogen itself would probably -- between Giner and United, it probably represents about 6%, 7% of our revenue in the third quarter, plus we'll have, of course, the additional hydrogen we normally use that will be in line with our normal run rate.
Colin Rusch: Excellent. And can you give us a sense of where your fuel margins are going to end up here in the third quarter? And then speaking about that, through the balance of the year. That's been a drag on the overall profitability, but we'd love to understand this or magnitude impact?
Andrew Marsh: I'm sorry, Colin, I didn't hear your question.
Colin Rusch: The hydrogen fuel margins with the hydrogen integration, can you give us a sense of immediate impact and how much more we'll see how much more benefit we'll see over the next couple of quarters?
Andrew Marsh: I'll let Paul take that one. Paul, do you want to take that question?
Paul Middleton: Yes. I think you're definitely going to see improvement -- accretive improvement, Colin. Because of the acquisitions and the roll in. As Andy outlined, the big progression and accretion are really starting to kick in next year as we start to really leverage United Hydrogen internally sourcing as well as growing the electrolyzer platform. So I think it will be directionally consistent with the first half, but -- which you see some improvement in Q2, and you're going to see some continued improvement in Q3 and Q4 as we progress through the year.
Operator: The next question is from Craig Irwin of ROTH Capital Partners.
Craig Irwin: Andy, congratulations on some really impressive results here. So when I looked up the Palm Spring California refueling station for United Hydrogen [Audio Gap] it's obvious that the infrastructure credits are financially beneficial to you. And then they have the right to incorporate a low-carbon fuel standard credits from the sale of green hydrogen. Would it be logical to expect that the refueling facilities for trucks that you're working on, would likely be in markets where they would be eligible for similar credits? And what do you think about the potential for your truck product to be eligible for ZEV credits when you sell those commercially to your customers?
Andrew Marsh: I think that's a real good question, Craig. And I think like when I talk to our big customers today, obviously, because of both the ZEV credits and the LCFS credits. I've seen numbers that the cost to generate the hydrogen with those credits could be lower than $1 a kilogram, which makes it extremely, extremely attractive when you start thinking about it even versus electricity. So that site, we own there, I think, could be a combination of fueling station that could complement the distribution centers in California as well as a depot to drop off liquid hydrogen for Southern California. So both of them. But I really am amazed you found out about that. Both of them are kind of items we're focusing on today.
Craig Irwin: Excellent. And just from a per kilowatt basis, is it fair to assume that your fuel cell trucks will obviously have much greater ZEV credits per unit, even on a per kilowatt basis than truck? Is that a fair assumption?
Andrew Marsh: That's a fair assumption, Craig.
Craig Irwin: Excellent. So most of my other questions have been answered. So I apologize for one that almost feels backwards-looking. Although it's important a 3 trajectory, right? Your pedestal customers, Andy, I mean, most people are focused on the trucks now, right? But you've talked about adding a few more pedestal customers in electric forklifts. I think your business there is very well-validated at this point. Can you update us on the breadth of potential customers you could add? Are we still really talking about 2 or 3 or maybe more now? And how are those conversations going now that those potential customers have seen 40% of the groceries in the United States moved on your forklifts in the first half?
Andrew Marsh: No, Craig. We will announce another pedestal customer this year. And there are discussions going on with 6 or 7 of those customers. An interesting mix between North America and Europe. I think, as you know, all the interest for fuel cells' in Europe, along with the fact that we don't have as many units in Europe that customers saw similar results. I have not forgotten that you take someone like Amazon, where there's large opportunities across a variety of applications. But the key is to make sure we continue to provide them good products and good values in material handling. That's what's built our credibility. And look, if you go around, I mean, this is -- it is the bread. I don't think anyone has the demonstrated credibility he's a pure player in the fuel cell space that Plug has today. It's because we've done it we've done it over the years. And I think it really does uniquely position us.
Craig Irwin: Great. Well, congratulations on this progress.
Operator: The next question comes from Sameer Joshi of H.C. Wainwright.
Sameer Joshi: Andy, Paul, so most of my questions were answered. But just one question, we noticed nicely that the Giner deal includes a lot of earn outs. And that had led us to believe that there will be some technological improvements and now it's based on that. But it seems from the commentary that most of the benefits you're planning to derive is from scale that you bring to Giner are there any membrane improvements or catalyst improvements that are in the R&D phase at Giner that should help you in the future?
Andrew Marsh: Absolutely. And I see we have a real clear road map for Giner. First, there's process improvement which will help dramatically reduce cost, but it also helps us to increase the amps per centimeter squared. Giner is a leader in that today -- where Plug is a leader in that today. By 2024, with the work that the folks there are doing, we would expect that it would be twice as good as the European goals for 2030. So I mean, if you look -- I would encourage people to go look at Giner's history with NASA, with General Motors, with the DOE, I think, they have $10 million of development projects, mostly associated with Giner with the DOE, we continue to improve electrolyzer stacks. I think we -- I can tell you, when I go around, talk to people in Europe, everybody in Europe knows who makes the best stacks. And Giner from a technology point of view, and they have a road map clearly spilled out over the next 4, 5 years, how we're going to double the current density, improve the efficiency and continue that leadership position and supported by our own capabilities as well as -- and look, this -- I think that the relationship that they've developed with the DOE and National Labs over years and NASA, really well, well positions our technology for continual improvement.
Paul Middleton: That was a good answer.
Sameer Joshi: Thanks for the commentary. It's really helpful. One of the other clarifications we would like is on United Hydrogen expansion. Is there any -- for the immediate expansion, is there any green aspect for that plan?
Andrew Marsh: Sure. So we're working -- so if you look at that plant today, it's actually fed by a waste stream. So right off -- you aren't really -- you're taking waste stream from an Olin plant, which is just waste hydrogen, which would just be burned off into the air. Additionally, we're looking to convert the liquefication to renewable electricity via TVA. That's not a -- that's really just clarification. So that plan itself, we think, can have CI scores, which are below 70. The plans we're looking to grow past that -- and just I should mention also, we've also been thinking about how we deliver hydrogen and you could expect the liquid hydrogen to Plug Power will provide ultimately will be delivered with hydrogen trucks that again, the combination of 2 can allow us to get the CI scores into 0, if done right.
Sameer Joshi: Understood. We'll take our questions offline.
Andrew Marsh: All right. Thank, Sameer.
Operator: Next question is from Christopher Souther of B. Riley FBR.
Christopher Souther: I just had a few here. On onetime items. Could you break down that $8.3 million? It looks like it was mostly SG&A related to the acquisitions, but curious how much the COVID impact was there on the cost of revenue and what costs we should expect to remain for the either cost of revenue or SG&A for the rest of the year related to that?
Andrew Marsh: Paul, do you want to take that?
Paul Middleton: Sure. I would say in terms of the amount that's within that charge, it's probably 10% or less, to be honest. It's -- the bulk of it is -- the majority of it is really associated with all the acquisitions and the debt restructuring that we did. There was a lot of events there, and that was -- there was a lot of costs associated with other things.
Christopher Souther: Got it. Okay. And then on the systems and infrastructure margins, down sequentially, is that just related to the larger mix of infrastructure? Is that kind of a subminus 30% kind of run rate, something that we should consider for the rest of the year? Do you think that should go back above 30%?
Paul Middleton: Yes. I think what I've talked about in the past is when you look at the different product lines on the fuel cells, routinely, we've disclosed that we've been as I said 35% or higher gross margin on the infrastructure. We're in the mid-teens. We've done 100 of them. And it's hard to get that to where it needs to be with only 100, but getting to mid-teens, pretty impressive, and we expect that to continue to progress north, could get up into the 20% in the back half with volume and leverage. And -- so I think you're going to see directionally that overall rate continued to improve in the balance of the year and onward into next year.
Christopher Souther: Understood. And then the last one on the stationary and backup power end market. It seems like the focus is going to be on data centers. What has the traction been like with new customers there? Are there any existing customers that might be looking at the product? And can you just talk about how that end market is going?
Andrew Marsh: Sure, Chris. It's interesting, first and foremost, one of my largest customers today is a leader in the data center space, and he's been very helpful in the design and the development of that product. I think our offering is really unique. And that the business is doing so -- business interest is so high. I've actually named the VP of Sales for that division, who has extensive experience in data centers. And I would say that if you name a major data center provider, both an infrastructure company as well as the operators, I think we're in discussions with all of them with our activities. The products are really cool. And I think the work we've done developing our ProGen stack is -- has really been leveraged in building out our megawatt style plant, which -- and I think one last item I'd like to add, and people may not think about it. But I always think about systems. And how you support hydrogen for backup power in these systems, one really needs to think about. And the fact that line we're beginning to be able to move, and we move more -- we move a great deal of hydrogen around already even before our acquisitions. And I think there's very few people who could actually provide these large data center providers a turnkey solution, so that they wouldn't have to worry about how they fuel. So I would encourage people to -- when they think about large-scale backup power, you have to always think about hydrogen and Plug is uniquely positioned to support the hydrogen needs for these kind of applications. So, thank you, Chris, I believe that's the last question. And I would like to highlight the Plug Power Symposium is coming up. There's a registration. This is open for everyone. It's a virtual event. I think it will be incredibly informative. I know we're lining up some interesting speakers, plus you'll have opportunities to hear more details about our business from some of my coworkers. And that we -- this is open to all. So there's a link in the investor letter. You can click on as well as there's an online registration in our website. So please take the opportunity to register and look forward to talking to everybody then. Thank you now.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.